Operator: Good afternoon. My name is Chantelle, and I will be your conference operator today. At this time, I would like to welcome everyone to the Sanmina Corporation's First Quarter 2017 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Paige Bombino, Vice President of Investor Relations, you may begin your conference.
Paige Bombino - Sanmina Corp.: Thank you, Chantelle. Good afternoon, ladies and gentlemen, and welcome to Sanmina's First Quarter 2017 Earnings Call. A copy of today's release is available on our website in the Investor Relations section. You can follow along with our prepared remarks and the slides posted on our website. Please turn to the Safe Harbor statement. During this conference call, we may make projections or other forward-looking statements regarding future events or future financial performance of the company. We caution you that such statements are just projections. The company's actual results of operation may differ significantly as a result of various factors, including adverse changes to the key markets we target, risks arising from international operations, competition that could cause us to lose sales, consolidation among our customers and suppliers that could adversely affect our business, and the other factors set forth in the company's annual and quarterly reports filed with the Securities and Exchange Commission. You'll note in our press release and our slides issued today that we have provided you with statements of operations for the three months ended December 31, 2016, on a GAAP basis, as well as certain non-GAAP financial information. A reconciliation between the GAAP and non-GAAP financial information is also provided in the press release and slides posted on the website. In general, our non-GAAP information excludes restructuring costs, acquisition and integration costs, non-cash stock-based compensation expense, amortization expense and certain other infrequent or unusual items to the extent material. Any comments we make on this call as they relate to the income statement measures will be directed at our non-GAAP financial results. Accordingly, unless otherwise stated in this conference call, when we refer to gross profit, gross margin, operating income, operating margin, taxes, net income and earnings per share, we're referring to our non-GAAP information. I would now like to turn the call over to Jure Sola, Chairman and Chief Executive Officer.
Jure Sola - Sanmina Corp.: Thanks, Paige. Good afternoon, ladies and gentlemen. Welcome. Thank you, all, for being here with us. With me on today's conference call is Bob Eulau, our CFO.
Robert K. Eulau - Sanmina Corp.: Good afternoon, everyone.
Jure Sola - Sanmina Corp.: For agenda, Bob and I have to review with you our financial results for our first quarter of fiscal year 2017. I will follow up with additional comments about Sanmina's results and future goals. Then, Bob and I will open for Q&A. With this, I'll just turn it over to Bob. Bob?
Robert K. Eulau - Sanmina Corp.: Thanks, Jure. Please turn to slide 3. Overall, the first quarter was a solid start to fiscal year 2017. Revenue of $1.72 billion was up 3.3% on a sequential basis and up 12.1% from the first quarter last year. Our non-GAAP gross and operating margins were sequentially flat at 7.9% and 4.2%, respectively. Non-GAAP EPS was $0.75, which was above the high-end of our guidance for the quarter. This was based on 77.2 million shares outstanding on a fully diluted basis. Cash flow from operations was good at $54 million for the quarter, and free cash flow was $36 million. I'll discuss cash in more detail in a few minutes. Please turn to slide 4. From a GAAP perspective, revenue was up 3.3% or $54 million from Q4 to $1.72 billion. We reported net income of $44.9 million, which resulted in earnings per share of $0.58 for the first quarter. This was down relative to last quarter by $0.72. You may recall that last quarter our GAAP results included an incremental release of our valuation allowance against deferred tax assets. If we normalize discrete tax adjustments from last quarter and this quarter, our GAAP EPS would be up around $0.03. My remaining comments will focus on the non-GAAP financials for the first quarter of FY 2017. At $135.9 million, gross profit was up $4.3 million from the prior quarter. Gross margin came in at 7.9%, which was flat compared to Q4. Operating expenses were up $1.9 million for the quarter at $64.2 million. This was flat as a percent of revenue compared to Q4 at 3.7%. Spending was up this quarter primarily due to a return to normal spending levels after unusually low spending in Q4. At $71.7 million, operating income increased by 3.6% from the prior quarter and increased 17.6% from Q1 last year. Operating margin at 4.2% was also the same as last quarter. Other income and expense at $3.8 million was down $600,000 when compared with last quarter and down $2.1 million from the first quarter last year. This was primarily driven by favorable foreign exchange hedging. The tax rate for the quarter was 15% of pre-tax income, which was in the range we had expected. On a non-GAAP basis, we earned $57.7 million in net income or $0.75 per share. Earnings per share were up 4% when compared to Q4 and up 29.8% from Q1 last year. Please turn to slide 5, where we are providing more information on the segments that we report. As you can see from the graph on the left, the Integrated Manufacturing Solutions segment revenue was up $43 million or 3.1% from last quarter. The IMS team continued to execute well and delivered solid gross margin of 7.3% for the quarter. The second segment for us is Components, Products & Services. In aggregate, the revenue for this segment was up $9 million or 2.8%, with gross margin up 1.8 points to 9.5%. We were able to correct some of the short-term issues from last quarter which drove the profit improvement on a modest revenue increase. We saw a very nice improvement in profitability for both the product and services areas. On slide 6, we are showing you some of our key non-GAAP profit metrics. Gross margin was 7.9% for Q1 while we had a $4.3 million increase in gross profit from Q4. We've been very consistent with our gross margin ranging between 7.7% and 8.2% over the last 15 quarters. Our operating income increased 3.6% when compared with Q4 and 17.6% since Q1 last year. This led to $71.7 million in operating income and operating margin of 4.2%. Now I'd like to turn your attention to the balance sheet on slide 7. Our cash and cash equivalents were $405 million. 54% of this cash was in the United States at the end of the quarter. Overall, the balance sheet was very similar to last quarter. Cash was up $7 million from the previous quarter. Accounts receivable up $19 million and inventory was up $18 million. Both of these lines were primarily driven by the higher revenue level. Property, plant and equipment was up $3 million for the quarter. From a liabilities standpoint, the accounts payable were up $50 million and short-term debt was up $15 million. Long-term debt was down $41 million. The changes in short-term and long-term debt were both driven by the $40 million mortgage due in calendar 2017 becoming current. We have started the process to pay off the mortgage this quarter. At the end of the quarter, our growth leverage improved to 1.1, continuing a very positive trend over the last seven years. The $35 million decline in other liabilities was primarily caused by a decline in accrued incentive compensation expense. Please turn to slide 8 where we will review our balance sheet metrics for the first quarter. Cash was up $7 million from Q4. We are very comfortable with our cash balance at $405 million. The cash levels have been very consistent over the last couple of years. Cash flow from operations for the quarter was good at $54 million and net capital expenditures for the quarter were $18 million. This led to $36 million in free cash flow for the quarter. Inventory turns were better than they were a year ago but still not where we want them to be on a long-term basis. While inventory dollars were up $18 million from last quarter at $964 million, inventory turns remained flat at 6.6 times. Compared to Q1 last year, inventory turns increased 0.4 times of a turn. In the lower left quadrant, we're showing cash cycle days which combines our cycle time for inventory, accounts receivable and accounts payable. Overall, cash cycle time decreased from 42.2 days last quarter to 40.4 days. This change was primarily driven by a 1.8-day decrease in days sales outstanding due to better customer shipment linearity that resulted in stronger in-quarter cash collections. Cash cycle days continue to trend in the right direction and are down by 6.8 days since Q1 of last year. Finally, pre-tax return on invested capital improved to 24.5% from the prior quarter. Compared to the first quarter last year, pre-tax ROIC improved 3.3 percentage points. This reflects the combination of better operating margin with solid working capital management. Please turn to slide 9. I would now like to share with you our guidance for the second quarter of fiscal year 2017. Our view is that revenue will be in the range of $1.675 billion to $1.725 billion. We expect that gross margin will be in the range of 7.8% to 8.2%. Operating expense should be $65 million to $67 million. This leads to operating margin in the range of 3.9% to 4.3%. We expect that other income and expense will be in the range of $5.5 million to $6.5 million. We expect the rate to be around 15%, and we expect our fully dilutive share count to be around 78 million shares, plus or minus 500,000 shares. When you consider all of this guidance, we believe that you will end up with earnings per share in the range of $0.67 to $0.72. Finally, for your cash flow modeling, we expect net capital expenditures of approximately $40 million while depreciation and amortization will be around $30 million. Overall, we've executed consistently well in the last 15 quarters. Our customer and geographic diversification positions us very well for the future. Growth continues to be our number one objective, but it's imperative that we grow at the right kind of business. At this point, I will turn the discussion back over to Jure for more comments on our target markets and our business strategy.
Jure Sola - Sanmina Corp.: Thanks, Bob. Ladies and gentlemen, let me share with you some business environment, what we had during the first quarter. Talk a little bit about outlook for second quarter and the rest of the fiscal year 2017. As Bob mentioned, overall good quarter for our expectations. Revenue was up quarter-over-quarter, year-over-year driven by growth in our end markets and ramp-up of the new project. Operations executed well, and that allowed us to deliver a solid result for the quarter. Customers' activities were strong during the quarter as we continued to win new customers which is the key to our growth and grow current relationships. Again, overall good quarter as we continue to position our company for a better future. Now please turn to slide 11. I just want to give you some highlights of our revenue by end markets. Our top 10 customers were 51.8% of our revenue. Book-to-bill for the first quarter was positive 1.02:1. We continued to do a good job diversifying our revenue by end markets and customers. We also improved, which is very critical to our strategy, quality of our customer base. I think we're able to add some really good customers during this year – last four months, I should say. For the first quarter, Industrial, Medical and Defense was 45% of our revenue. That was nicely up 2.7%. Overall industrial demand was good, defense was strong and our medical was weaker than we forecasted, but mainly driven by some of the end-of-the-year inventory adjustments. For Communications Networks, revenue was 38% of our revenue. That was also up nicely, up 4.1%. Overall good demand driven by networking and optical products. Mobile networks, mainly broadband, overall demand was stable and is improving. Embedded Computing & Storage was 17% of our revenue. That was up 2.9%. Storage/Embedded Computing overall was good. We saw a good demand. For automotive, we saw some end-of-the-year inventory adjustments, but overall automotive has been very strong for us. Now please turn to slide 12, let me talk to you about revenue outlook by market segments for the second quarter. As Bob mentioned earlier, I think this is a good start for our March quarter. Overall, we are forecasting stable demand. For Industrial, Medical and Defense, we expect to continue to do well. In these segments, we have good opportunities in our pipeline. For Communications Networks, we're starting to see good demand driven by networking, IP routing and optical products. For mobile networks, broadband, we're starting to see more improvements. Embedded Computing & Storage, we expect to continue to improve during the quarter. And automotive should be up this quarter, as we have also a strong pipeline of new projects that are ramping up in automotive. Bookings for the second quarter, we do expect book-to-bill will continue to improve during the quarter. Let me make a few more comments about business environment for the fiscal year 2017. As always, global economy is hard to predict, but business environment is improving and expanding. Overall, our customer base is still positive about 2017. So based on that and visibility and the forecast, we are more confident that fiscal year 2017 will be another solid and growth year for Sanmina. Pipeline of existing and new opportunity is good, and it's expanding. Now, I'd like to make a few comments about Sanmina's global structure. In our industry, there's a lot of questions regarding the global trade, so let me make a few comments on that. Our industry is well-positioned to help our customers evaluate manufacturing strategies and facilitate any changes that occur. In our industry, Sanmina's strategy has always been more U.S.A.-centric, from design engineering, components capabilities, as we provide end-to-end manufacturing solutions from U.S.A., Canada and other places around the world. We transfer these technologies and capabilities around the world as needed. Let me tell you how we do it, please turn to slide 13. Key to our strategy in manufacturing is that we get involved with our customers from R&D point of view. We get involved in new product introduction, all the way to direct order fulfillment. Sanmina provides one-stop shop solutions. Sanmina solutions are regional or global for entire life cycle. Today, we operate in 25 countries. We manage it with one IT platform. We do have a central control. We believe this is a competitive advantage by implementing best practices globally. So in summary, Sanmina regional supply chain is very simple, get involved in research and development and really service your customer all the way through direct order fulfillment. The key here is to be predictable, consistent performance globally. So I can conclude that our global structure is very flexible, and we can adjust to any customer demand that goes around the world. Let me make a few comments about Sanmina's future. Where are we going from here? I can tell you I'm personally excited and very optimistic about Sanmina's future. Our strategy is working. We are building a strong and competitive company for the future, providing higher technology solutions for mission-critical products and services. We have great technical capabilities and manufacturing footprint in place, and most importantly is that we are focused in diversifying our businesses to deliver better financial results in the future that are sustainable and consistent. And we're still having a lot of fun, I think that's most important. Please turn to slide 14. In summary, first quarter we delivered revenue growth in line for our expectations. Most importantly, it was predictable and consistent operating margin. Earnings per share expanded, up 4% sequentially and 30% year-over-year. We delivered a solid cash flow from operations. For second quarter, as I mentioned earlier, we still see good demand, so we expect a good quarter, and Sanmina should continue to deliver strong cash flow from operations. For fiscal year 2017, based on our first quarter results and second quarter forecast, as you can see, we're going to have a strong first half. But we do also expect, based on all information we have today, a strong second half of fiscal year 2017. So, again, in summary, our strategy is working. We'll continue to drive profitable growth and maximize shareholders' value whenever we can. So, ladies and gentlemen, now I would like to thank you all for your time and support. Operator, we are now ready to open the lines for question-and-answers. Thanks again. Operator?
Operator: Your first question comes from Sean Hannan with Needham & Co. Your line is open.
Jure Sola - Sanmina Corp.: Hello, Sean.
Robert K. Eulau - Sanmina Corp.: Hi, Sean.
Sean K. F. Hannan - Needham & Co. LLC: Yes. Good evening, folks. Thanks very much for taking the question here, and congratulations on a nice quarter and guide.
Jure Sola - Sanmina Corp.: Thank you.
Sean K. F. Hannan - Needham & Co. LLC: You're welcome. First question I have is coming off of the commentary, Jure, that you had just provided in looking at the second half of the year being strong, and, well, the first half of this fiscal year is looking strong. Is there an expectation of yours that based on what you see today and general conservatism around any expectations for market demand, would you be a flattish quarter-to-quarter-to-quarter type of year, or are you viewing based on your ramp activity and what's kind of in the background that the second half could actually be stronger than the first half? Any clarity around there would be great. Thanks.
Jure Sola - Sanmina Corp.: Yeah. I mean, every time we give you a forecast, I mean, we spend a lot of times talking to our customers, looking at all the data and historical data. So as I mentioned, we feel very comfortable about second quarter. We delivered the first one. As I look in the third and fourth quarter, everything we see today and based what customers are telling us, that's going to be a stable, and I think there's a fair amount of upside. We also have some good new programs that are ramping up that will start shipping in the third and fourth quarter of this fiscal year. So combining all those things that we have in the pipeline, I'm pretty optimistic that the overall second half will be a little bit better.
Sean K. F. Hannan - Needham & Co. LLC: Okay. That's helpful context. And then, Bob, a question here in terms of the CPS gross margin. So, obviously you had some hiccups last quarter, a nice recovery here within the December quarter. Can we talk a little bit about other contributors to margins within that segment, the sustainability of being able to perform at this level? And then I suppose the overall perhaps qualitative viewpoints that you might have for that segment group? Thanks.
Robert K. Eulau - Sanmina Corp.: Yeah. So, several questions in there, and we're definitely pleased that we made progress from last quarter, but we're still not very happy with the results in the first quarter. We believe there's a lot more potential in this segment, as we've said, over the years. Most of these businesses benchmark in the mid-teens from a gross margin standpoint and most of them have contribution margins in the 25% range. So the real key for us with the Components, Products & Services is to get more growth. And that's been a challenge over the last couple years. We've had a couple of areas that have had a lot of headwind, and we've been very candid about those with wireless communications and with the Oil and gas industry. And in both of those cases, they were important for our Components business. So, as we get a little bit of tailwind, I think we can really expand margins in Components, Products & Services, and we'll be able to generate very good cash there as well. So we still have a lot of work to do here although we're obviously pleased that we've made progress this quarter.
Sean K. F. Hannan - Needham & Co. LLC: Okay. Thanks very much. I'll hop back in the queue, folks.
Jure Sola - Sanmina Corp.: Thanks, Sean.
Robert K. Eulau - Sanmina Corp.: Thanks, Sean.
Operator: Your next question comes from the line of Steven Fox with Cross Research. Your line is open.
Steven Fox - Cross Research LLC: Thank you.
Jure Sola - Sanmina Corp.: Hey, Steven.
Steven Fox - Cross Research LLC: Hi.
Robert K. Eulau - Sanmina Corp.: Hey, Steve.
Steven Fox - Cross Research LLC: So maybe just to follow up on that CPS question, I was wondering if maybe you could parcel the difference in the gross margins. So I'm looking at a $9 million increase in CPS sales versus a $7 million gross profit increase. So, how much of the improvement was due to some of the – correcting some of the problems you had last quarter? And how much was just due to typical dropdown benefits from revenues?
Robert K. Eulau - Sanmina Corp.: Well, I mean, if you think about what we said last quarter, we had some short-term issues that were really affecting us in both the product and the services areas, and we were able to correct those. If you think about our typical contribution margin being around 25% and if revenue is up $9 million, you're somewhere in the neighborhood of, what, $2 million to $2.5 million in gross profit coming from the revenue and the rest really from the corrections we were able to make.
Steven Fox - Cross Research LLC: Great. That's very helpful. And then secondly, just if I could follow up on some of the trade comments you made, Jure. If I'm looking at the right filings, from a square footage standpoint at least, you have about 20% of your footprint in Mexico. Can you first of all just refresh our memory of what you're producing down there? And just your view on whether some of these trade headlines could maybe shift customers' viewpoints on where they want to produce, including some stuff you're ramping now? Thank you.
Jure Sola - Sanmina Corp.: Well, first of all, Steven, our Mexico capability is the same as North America. It's all high-tech stuff that we build there, very little what I would call consumer product, so it's more advanced technologies. So it's a great capability there as we have in rest of the world. But in Mexico especially, we have some great capabilities and they're kind of networked with North America capabilities, so we function as, of course, as one company. I'm not smart enough to know what's going to happen around the world, but I think company, as I mentioned in my prepared statement, is ready to adjust if it's necessary and we look in all the options. Personally, I don't think anything crazy will happen, but I'm a businessman guy, not a politician. But we think the most important thing is our company's well-positioned. As I said earlier, we have a great capability here in North America. So we give our customers, even today, options. Some customers want to manufacture locally, some customers, because of their markets, want to do other parts of the world, and that's the way Sanmina is really set up. And that's the way I see business going out. If you remember 10, 15 years when everything was going east, east, and there were no questions asked. Today, I think our business is set up more for regional business servicing regional customers. So when we are in Asia, lot of the products that we make eventually are going to be shipped into the Asian customers. When we are in Europe, it's European customers. Here in America, it will be for America's customers, which is basically North America, Canada – I mean, U.S.A., Canada, Mexico, South America and so on. So the model that we see the way our global customers are is really the global model because a lot of our customers are non-U.S.A. customers also. So we operate globally, but we can give every customer of ours a local solution better than anybody else, because that's the way company is structured.
Steven Fox - Cross Research LLC: Great. That's very helpful. Appreciate that color. Thanks.
Jure Sola - Sanmina Corp.: Thanks, Steven.
Robert K. Eulau - Sanmina Corp.: Thanks, Steve.
Operator: Your next question comes from Mitch Steves with RBC Capital Markets. Your line is now open.
Jure Sola - Sanmina Corp.: Hello, Mitch.
Robert K. Eulau - Sanmina Corp.: Hi, Mitch.
Mitch Steves - RBC Capital Markets LLC: Hey, Jure. Thanks for taking my question. So I guess first kind of on the Communications segment. I heard that you guys mentioned broadband and mobile networks, but are you guys also seeing kind of demand trends from optical also being positive or is it just primarily the mobile network and broadband side?
Jure Sola - Sanmina Corp.: No. I think as I stated in prepared statement, Mitch, that overall our demand is very strong in the network and optical side of the business with the customers that we are involved.
Mitch Steves - RBC Capital Markets LLC: Okay. And how much visibility...
Jure Sola - Sanmina Corp.: And we have a lot of new programs there and we also work in a lot of – in new programs. So Sanmina is well-positioned in that segment. We always were and we continue to really win in that segment.
Robert K. Eulau - Sanmina Corp.: Yeah. I would just add, and optical, as we've said even in our analyst meeting last May, is a real strength of Sanmina's. And as of last May, the optical business had doubled in the last couple of years. We continue to see nice growth over the last six or nine months, and we've got a very strong offering for that segment.
Jure Sola - Sanmina Corp.: And I think that's what's going to drive the growth, because our offering is really one of the great solutions that we offer to our customers.
Mitch Steves - RBC Capital Markets LLC: Got you. And then, for the visibility portion of the optical piece, because I know they're least cyclical, do you guys feel that you guys will still see growth in that segment for the full year?
Jure Sola - Sanmina Corp.: Could you repeat the question?
Mitch Steves - RBC Capital Markets LLC: So the optical cycle for the full year, do you guys think that the optical piece will be higher than it was last year?
Jure Sola - Sanmina Corp.: I would say what we have in our pipeline, worse case, will be the same. But again, I'm not smart enough to know everything in details, but I think our pipeline is strong. Most importantly, I think we have a lot of good programs and great offerings. So overall, I think Sanmina would do well. I would say that's – and that's really what I'm talking, Mitch. I'm really talking about what Sanmina is going to do. I'm not an expert what goes with every optical product on a global basis, but I'm an expert in what we're going to do in 2017.
Mitch Steves - RBC Capital Markets LLC: Right. Got it. Okay. Thank you very much.
Jure Sola - Sanmina Corp.: Thanks, Mitch.
Robert K. Eulau - Sanmina Corp.: Thanks, Mitch.
Operator: Your next question comes from Jim Suva with Citi. Your line is open.
Jure Sola - Sanmina Corp.: Hello, Jim.
Robert K. Eulau - Sanmina Corp.: Hey, Jim.
Jim Suva - Citigroup Global Markets, Inc.: Hey. Good afternoon. Thank you so much for the detail thus far. I have a quick clarification question. You'd mentioned your primary focus of the company remains on growing and profitable business, which strategically is quite sound. Do you see that mostly coming organically or through your recent acquisitions you've had a lot of success there? How should we kind of think about which is most likely versus less likely?
Jure Sola - Sanmina Corp.: Well, Jim, since you've been around a long time and more than I want to admit that I've known you forever, we started really changing our strategy, as you know, right after the major recession 2009. And the idea was at that time really to, what I would call, build a second start-up. It was a focus on building a stronger Sanmina, stronger foundation. Maybe we don't have to be the biggest company out there, but go ahead, invest in technology and services that we can compete in those markets with anybody. I think we accomplished that. We got the balance sheet now where it needs to be. So we can go a lot of different ways. I think we learned a lot from our mistakes in the past. So I think we're a little bit smarter today as we grow. First of all, I think we should have a good organic growth in some of these key segments. We did expand in oil and gas a few years ago. Maybe timing was not the best, but we still continued to invest in oil and gas, believe it or not. But we think it's going to pay off. We are driving more investment in defense and aerospace industry, because we have a good reputation there. We are investing more in our ODM platform type of a product through our storage product and others. We're expanding our services. So when you really look at, I think we are positioning the company that we can drive organically in the future segments of our customer requirements. At the same time, we are looking at other strategic things that can help us grow faster. And so, we'll continue to look into those and see if anything makes sense.
Jim Suva - Citigroup Global Markets, Inc.: Okay. And as a...
Jure Sola - Sanmina Corp.: Just let me summarize. But the key to what we're saying, and you have my assurances there and Bob's, and I speak for Bob here, is whatever we do, it's all based on, is that sustainable, is that predicable, is that repeatable? We're not interested in the customers that come and go. We're not interested in the products that are short-lived, and they go down the street and pick up a, how do I say, another competitor over $0.10 less. So we're looking at something that we can build this company a lot stronger company forever. So really part of our strategy, and it's working.
Jim Suva - Citigroup Global Markets, Inc.: Okay. And then as a follow-up, maybe, for Bob. On the gross margins, specifically if you peel it to the segment level and look at the Integrated Manufacturing Solutions, my numbers may be wrong, but are gross margins down year-over-year in that segment yet revenues are up quite a bit? And if so, can you help us understand, is that a long-term thing? Or why would they be down with revenues up?
Robert K. Eulau - Sanmina Corp.: Yeah. Well, it's – as usual, it's really driven by mix more than anything else. And we had two quarters last year where had gross margins of 7.7% in the Integrated Manufacturing Solutions segment, and both quarters we've said that that was a really good mix of business. So I don't think there's anything to be concerned about in terms of the first quarter mix of business. It just wasn't quite as rich as the first quarter and fourth quarter last year.
Jim Suva - Citigroup Global Markets, Inc.: Okay. Thank you so much for the details. Much appreciated.
Jure Sola - Sanmina Corp.: Thanks, Jim.
Robert K. Eulau - Sanmina Corp.: Thanks, Jim.
Operator: Your next question comes from Ruplu Bhattacharya with Bank of America Merrill Lynch. Your line is open.
Ruplu Bhattacharya - Bank of America Merrill Lynch: Hi. Thanks for taking my questions.
Jure Sola - Sanmina Corp.: Hi, Ruplu.
Ruplu Bhattacharya - Bank of America Merrill Lynch: Hi. Hey, just a...
Robert K. Eulau - Sanmina Corp.: Hello, Ruplu.
Ruplu Bhattacharya - Bank of America Merrill Lynch: The first question on optical. Just wanted to clarity what you said, Jure. I think at the Analyst Day you've said that your optical business is over $1 billion. Did you say that in the worst case that it remains flat, or what was the commentary? Do you see the business growing year-on-year, or do you see it – what's the worst-case scenario here?
Jure Sola - Sanmina Corp.: Well, first of all, that is true. I said earlier that – first of all, at the Analyst Meeting, yeah, we said at that time that our business is over $1 billion, and that's still the case. We do it – we've grown since then. I think the Analyst Meeting was in May, so we grown since then. And if I look at the next 12 months, I – based on everything I see and all the opportunities that we have, I'll be very surprised if we are not growing in 2017.
Ruplu Bhattacharya - Bank of America Merrill Lynch: Okay. That's helpful. And then, Bob, I think if I just look at the first half, your revenues would have grown, based on the midpoint of guidance, about 9% year-on-year. I just wanted to clarify again the commentary on the second half growth. Do you think you can maintain that kind of growth, or what was the commentary between the first half of the year and the second half?
Robert K. Eulau - Sanmina Corp.: Yeah. So I'll respond to the question. I think Jure actually responded earlier, but we're obviously pleased by how the first half of this year is going, and I would say generally speaking, the second half tends to be stronger than the first half. And it looks like this is probably going to be a normal year in that respect. And the main information we have is the forecast coming in from our customers, and it looks good for the year. But we don't give annual guidance, and that's probably about all the commentary we should give on the second half.
Ruplu Bhattacharya - Bank of America Merrill Lynch: Okay. Thanks. That's helpful. And then maybe on CPS, just wanted to see if you can give any commentary on the margins on Components versus Products & Services? Did they meet your expectations? Which one was higher, lower? Any directional guidance there?
Robert K. Eulau - Sanmina Corp.: Well, as I've indicated the last few quarters, we continue to have headwinds in the Components area. And that's the area where we have the most opportunity going forward to improve the margins, but we have opportunities across the board to do better.
Ruplu Bhattacharya - Bank of America Merrill Lynch: Okay. All right. And the last one for me, I think you talked about U.S. manufacturing. Can you tell us like what is your utilization either in terms of equipment or space or workers in the U.S., and do you have capacity if OEMs wanted to move into the U.S.? Do you have white space in the U.S.?
Jure Sola - Sanmina Corp.: Yes, we have plenty of space in U.S.A. Our factories are basically the same process as around the world. So we are very flexible to meet our customers' requirements. We can move equipment around the world, so it's not an issue.
Robert K. Eulau - Sanmina Corp.: We have a lot of component capability in the United States as well. So I think we've got our, as Jure said earlier, an excellent mix of capabilities in the United States.
Ruplu Bhattacharya - Bank of America Merrill Lynch: Okay. Great. Thank you for taking my questions, and congrats on the quarter.
Jure Sola - Sanmina Corp.: Thanks, Ruplu.
Robert K. Eulau - Sanmina Corp.: Okay. Thanks.
Jure Sola - Sanmina Corp.: Operator, we have time for one more question.
Operator: Your next question comes from Sean Hannan with Needham & Co. Your line is open.
Jure Sola - Sanmina Corp.: Hey, Sean.
Robert K. Eulau - Sanmina Corp.: Hi, Sean.
Sean K. F. Hannan - Needham & Co. LLC: Good evening. Thanks for the follow-up here. Bob, just a housekeeping question, a few things I may have missed. Book-to-bill in the quarter, the gross margin guide, and then what are the assumed options within your guidance?
Robert K. Eulau - Sanmina Corp.: Well, as Jure mentioned, book-to-bill for the quarter was 1.02:1. And in terms of the gross margin range, we expect it to be 7.8% to 8.2%.
Sean K. F. Hannan - Needham & Co. LLC: Okay. And then what are assumes in the earnings in terms of option expense with an add back?
Robert K. Eulau - Sanmina Corp.: Yeah, we don't usually put that number out there. All the numbers I gave you are non-GAAP numbers including that gross margin range.
Sean K. F. Hannan - Needham & Co. LLC: Yes. Okay. All right. And then I want to ask about as you folks think about the new programs that you've won, that you're expecting to ramp, want to see if I could get you to call out maybe one or two – not necessarily program-specific, but at least in terms of thematic end markets whether it be optical, if it's automotive, what it might be. Just want to understand what's really kind of at the top of the list that you're encouraged by for growth going from here. And as you think about that, also want to see if I can get an understanding of how the Newisys is performing. Thanks.
Jure Sola - Sanmina Corp.: Yeah, Sean, let me just add in the markets. First of all, what we have in the pipeline, and I think it's been working on this now for the last 18 months, but this year we see a fair amount of projects that go to production. But it's really in our Industrial side of our business, the Medical side of our business, Communication Networks, which includes networking, optical, IP routing, those will be what I would say most of the wins, but we do have a fair amount of also wins in automotive, which is a market that we go after, mission-critical type of products there. Overall enterprise Computing & Storage, we continue to invest through that business through Newisys product. I think Newisys is making some great progress. We made some big investments in the last 12 months including adding software to the product. We're not maximizing all the margins on this yet, but we expect that product to continuously improve. So overall the business that we have in pipeline is a good business. It's the business that is just as good what we have today, in a lot cases it's even a better business. So we're very – there's a lot of work left, but good thing about our, I think, the model is there's a lot potential for upside and we just got to execute. So...
Jure Sola - Sanmina Corp.: With that, operator, that's all we have today. I would like to again, before we let you go, say thank you to everybody for taking your time. And please, if we didn't answer all the questions, give us a call. Thanks.
Robert K. Eulau - Sanmina Corp.: Yeah. Thanks, everybody. Have a great day.
Jure Sola - Sanmina Corp.: Bye-bye.
Operator: This concludes today's conference call. You may now disconnect.